Operator: Thank you for standing by ladies and gentlemen, and welcome to the Star Bulk Carriers Conference Call First Quarter 2018 Financial Results. We have with us today Mr. Petros Pappas, Chief Executive Officer; Mr. Hamish Norton, President; Mr. Simos Spyrou, and Mr. Christos Begleris, Co-Chief Financial Officers of the Company. [Operator Instructions] I must advise you that this conference is being recorded today. We would now pass the floor to one of your speakers today, Mr. Pappas. Thank you and please go ahead, sir.
Petros Pappas: Thank you, operator. I am Petros Pappas, Chief Executive Officer of Star Bulk Carriers and I would like to welcome you to the Star Bulk Carriers conference call regarding our financial results for the first quarter of 2018. Before we begin, I kindly ask you to take a moment to read the Safe Harbor statement on Slide number 2 of our presentation. Let us now turn to Slide number 3 of the presentation for a summary of our first quarter 2018 financial highlights. In the three months ending March 31, 2018, TCE revenues amounted to $81.6 million, 66.5% higher than the $49 million for the same period in 2017. Adjusted EBITDA for the first quarter 2018 was $46.4 million, versus $18.1 million in the first quarter 2017. Adjusted net income for the first quarter amounted to $11.9 million or $0.18 gain per share versus $12.9 million adjusted net loss or $0.21 loss per share in Q1 2017. Our time charter equivalent rate during this quarter was $12,586 per day, compared to $8,156 per day in the same quarter last year. Our average daily operating expenses were $3,991 per vessel per day. We're working towards closing the recently announced vessel acquisitions during early Q3 having recently achieved an important milestone with the Songa shareholders voting in favor of the relevant transaction. Finally, on the financing side we have obtained commitments of $561 million from 10 banks refinancing almost all of our debt maturities in 2018 and 2019. I will now pass the floor to our Co-CFO, Simos Spyrou, for an update on our operational performance for the quarter.
Simos Spyrou: Thank you, Petros. Slide 4 summarizes the cash movement during the first quarter of 2018. The improving dry bulk market enabled us to generate strong free cash flow of $27.7 million from our vessels on the water during the quarter. After including debt proceeds, CapEx payments and cash repayments we arrived at a cash balance of $264.3 million at the end of the first quarter. Slide number 5 highlights Star Bulk's strong liquidity position. We are focused on maintaining competitive cash breakeven levels. Our lean cost structure enables us to deleverage our balance sheet and create value for our shareholders. On the right hand side we provide a breakdown of the pro forma net debt position of Star Bulk which will be approximately $1.38 billion after the completion of the 34 vessel acquisition. Star Bulk has taken delivery of all it's new building vessels and will have zero equity CapEx for the three Newcastlemax vessels that it acquired from Oceanbulk Container Carriers as there is committed financing in place for the remaining CapEx payments for these three vessels. We expect to take delivery of these three Newcastlemax's during the first half of 2019. Please turn now to Slide number 6 where we summarize our operational performance for the first quarter 2018. The combination of our in-house management and the scale of the group provide us significant cost and quality benefits. Operating expenses were $3,991 per day per vessel for the quarter, in line with our performance over the previous quarters. Net cash G&A expenses were $1,101 per day per vessel for the quarter. Our low cost structure is complimented by excellent ship management capabilities as Star Bulk is ranked in the Top Five among managers evaluated by Rightship. We are very focused on having the highest standards of vessels safety and maintenance to meet the requirements of our strictest and most demanding clients. Slide 7 shows that Star Bulk is one of the lowest cost operators amongst U.S. listed dry bulk peers based on latest publicly available information. Star Bulk is one of the leaders in cost efficiencies amongst the industry with operating expenses approximately 17% below the industry average. Notwithstanding the above, we always continue paying a lot of attention on the condition of our vessels in order to remain at the top of the list of our commercial partners. In Slide number 8 we are providing an update on our fleet employments with 35 vessels in the medium to long-term charters of 5 to 12 months. In terms of visibility for the next quarter, we have covered 88% of our available base, our average rate of over approximately $12,758 per day which is above our long-term breakeven levels, including debt service. I will now pass the floor back to Petros for a market update and his closing remarks.
Petros Pappas: Thank you, Simos. Please turn to Slide 9 for a brief update of supply. During the first five months of 2018, a total of 13.1 million dead weight has been delivered, and 2.1 million dead weight was sent to demolition for an 11 million dead weight net inflow. During the same period, a total of 10.5 million dead weight has been reported by Clarksons as firm orders and up to an additional 6.5 million dead weight have been identified as LOIs or options. The total dry bulk order book current stands between 10% and 12% of the fleet depending on the percentage of LOIs and options that will ultimately materialize. Three consecutive years of low contracting will lead to net flow growth during 2018-19 of between 2% and 3% per annum depending on the rate of demolition. It's also worth noting that banquet [ph] cost have increased 50% over the last year to approximately $450 per ton, encouraging slow speeds and providing support to a higher freight environment. Let's now turn Slide 10 for a brief update of demand. During the first quarter of 2018, dry bulk trade activity experienced a slowdown due to seasonality and a series of disruptions that affected major exporters; poor weather conditions, mining accidents and strikes took place in Brazil, Canada, Guinea, and South Africa during a short period of time. Brazil iron ore exports decreased by 7.5% during the first quarter despite the new [indiscernible] mine and despite healthy demand for high quality ore. Strong steel prices and profit margins have supported the 4.2% increase in global steel production and a 5.3% increase in crude steel output by China. On this note, China's winter environmental restrictions have also led to a 25% decline in domestic iron ore production which is supporting higher imports. China upper end crude steel consumption is estimated to have increased by 8% during the first four months of the year while steel inventories have experienced a fast decline over the past two months. At the same time, international steel prices have received strong upward pressures over the last year due to significantly lower exports of Chinese steel and the U.S. imposition of steel tariffs. China coal imports increased 9.2% on the back of 7.6% thermal electricity growth for hydropower generation and flat domestic production of coal. We find it encouraging for near-term prospects as both China and India coal stocks remain at relatively lower levels, especially in view of above average hoped [ph] weather conditions. As per Clarksons latest report, during full year 2018 total dry bulk tons are projected to grow by approximately 2.5%. The second half although is expected to grow at a faster pace than the first with strong export growth of Brazil iron ore, U.S. coal, U.S. soybeans and Guinea bauxite. We expect demand growth to outpace fleet growth during full 2018 and 2019 on the back of healthy ton miles. There is however a fragile balance which may tilt against us if ship owners embark in the massive newbuilding or during over the next year. We therefore highlight once again, that the most important factor for market balance is on us ordering discipline, this related foundation for sustainable recovery until environmental regulations gradually come into force. These environmental regulations will thereafter not only contribute towards a cleaner environment but they may also assist shipping and reducing vessel supply and lead us to potentially even better markets as of 2020 onwards. Without taking any more of your time, I will now pass the floor over to the operator to answer any questions you may have.
Operator: [Operator Instructions] Your first question comes from the line of Ben Nolan of Stifel.
Benjamin Nolan: I have a handful starting with the logistics business that you guys initiated in the fourth quarter of last year. It looks like you really ramped up activity certainly a lot more charter higher cost and revenue associated with it. And curious first of all, maybe, if you can just frame that in -- I mean, are you focusing on any particular asset type or commodity type geographic region? And associated with that, how much do you think that the activity level in the first quarter is indicative of -- how would you expect that to grow going forward?
Petros Pappas: We're focusing basically on grain trades and we are focusing in the Atlantic and on smaller types of vessels like Ultra-Supras and Panamax/Kamsarmax. What was the second part of your question?
Benjamin Nolan: Obviously there was a lot of days in the quarter, just curious if that is still part of the ramp up process or whether or not it was just kind of where you are -- sort of where you would expect it to be?
Simos Spyrou: I think it's part of the ramp up process. In other words, it's not going down from here.
Benjamin Nolan: Sure. But isn't going up a lot I guess is my question.
Simos Spyrou: I think it's probably going up from what we've reported a little bit…
Petros Pappas: A little bit, not significantly from what we reported for the year [ph].
Simos Spyrou: I mean, this is part of our effort to make sure that Star is able to voyage to order any one of the vessels they don't [ph] -- whenever voyage charter is more attractive than a time charter.
Benjamin Nolan: To that end and when thinking through sort of the vessels that you're chartering in from the third-party owners and/or alternatively FFAs, is the idea ultimately to be sort of net neutral on that -- call it trading book or logistics book? In other words, you're not playing that either long or short?
Petros Pappas: We're mostly net neutral but when you take vessels in, you have optionality periods and on that period you leave open because that's where your profit lies.
Benjamin Nolan: And then, lastly associated with that; when you are chartering in vessels, do they typically -- are they typically spot voyages or short-term time charters, there is nothing longer duration on that side; is it fair?
Petros Pappas: We did few period vessels like five or six of them but most of them are spot fixtures. And periods are less than a year.
Benjamin Nolan: It's just that there was obviously a big change in the income statement -- trying to get my head around it so that's helpful and understanding sort of what you think of that. And then secondly, and I'll turn it over -- as it relates to transaction, obviously this is an extremely busy quarter and most of the situations that involved -- or I guess all of the situation that involved acquiring fleets or ships and assets, you guys were able to use your shares as a currency to fund the equity component of those transactions which is good to see from my view. I'm curious, is there -- are there more transactions of that type out there? And then secondly, how easy is it or have you found it to be in order to be able to use your shares in that way and be able to consolidate and take advantage of the liquidity that you're public listing per lines?
Simos Spyrou: Nothing like this is ever easy but you know, there may be other transactions out there and there may not be, we hope there may be. And if we see other situations that are as attractive as the Augustea transaction and the Songa transaction, we'd love to do them. We can't promise that there will be but we're always looking for attractive transactions.
Benjamin Nolan: And in general, is it a preference when possible to use shares first for the equity component?
Simos Spyrou: Yes. I mean the intention in both transactions was not to materially change our leverage up or down and not to materially change our operating risk. But to grow our market cap, to grow our liquidity -- and on the margins, you know, we were able to reduce our average fleet age; and on the margin to a small extent, I think we increased our average ship size but did it in essentially a leverage neutral way.
Benjamin Nolan: Lastly, quickly -- you said both transactions were set to close in the third quarter. Maybe splitting hairs but just for modeling purposes, do you think that is July or September?
Simos Spyrou: It basically should be by the end of July, Ben.
Operator: And your next question comes from the line of Randy Giveans of Jefferies. Please ask your question.
Randy Giveans: Few of the questions there; following up on the recent acquisition, kind of -- can you give the updated share account post all acquisitions that are $92 million, is that the way we should be modeling?
Petros Pappas: Correct.
Randy Giveans: And then with those acquisitions that obviously the recently announced refinancing, the cash suite mechanism; what their expected kind of debt repayment amounts the rest of this year in 2019 more so?
Petros Pappas: It should be around $30 million per quarter after we take delivery of -- essentially all the vessels from the transactions that we have announced.
Randy Giveans: So you that run rate back half of the year, going forward. Okay, and then post that position you will have about 108 vessels; is there kind of a scale or size that you're wanting to get to -- growing it larger, going smaller? Basically, what level do you want your fleet to be at in the coming quarters? Is 108 big enough or are you still looking for more?
Petros Pappas: We kind of aspire someday to be a midcap company. So what do you think midcap company is worth?
Randy Giveans: In shipping?
Petros Pappas: Just generally.
Randy Giveans: $3 billion.
Petros Pappas: There you go.
Randy Giveans: The stock price and the share accounts, both increase that.
Petros Pappas: We would aspire someday to be a midcap company, grow out the business cycle someday.
Randy Giveans: So looking at those 35 vessels on the short-term charters, basically upon the exploration, maybe half of them in the coming 3 years 6 months; is this strategy to continue to have a third or so of your vessels on short-term charters or you just roll off into spot? Do you have a strategy for those or is it pretty much all opportunistic?
Petros Pappas: Our strategy will remain the same as in the previous years. We like to fix during Q3 or perhaps very beginning Q4, a percentage of our fleet and get through Q1 and part of Q2 because usually the first half of the year is slower than the second part. And as the second part is usually stronger, then you have better chances of fixing a better rate through Q1, Q2 -- so, I don't think we're going to change that strategy as proven to be working relatively well.
Randy Giveans: So growing the fleet, getting to a mid-cap -- are new buildings on the table or is this all through kind of second hand acquisitions?
Petros Pappas: We have no present intention to order any new buildings.
Operator: Your next question comes from the line of Fotis Giannakoulis of Morgan Stanley.
Fotis Giannakoulis: I want also to follow-up on the latest acquisitions and try to understand the rational not from your side which is obvious but from the side of a seller; what were the arguments that you used and what made the seller willing to dispose the fleet and companies to you in exchange for shares instead of -- particularly for Songa remaining an independent public company?
Petros Pappas: I think we are able to bring obviously the very efficient technical and commercial management you heard about to -- for the benefit of the shareholders of Augustea and Songa. And we were excited to offer Raffaele Zagari -- I hope I have pronounced his name almost right; I've seen on the board and to offer [indiscernible] I see it on the board. So they are not really giving up all influence on their companies; just -- to the contrary, we welcome their insight, and experience and judgment. And Herman Billung and Songa is joining us a member of the management team. So it's not so much of an acquisition of the fleets as a merger of companies, and that's pretty unusual in the shipping industry, and I think the culture of Star Bulk is able to accommodate that sort of merger in a way that the culture of some other shipping companies might have difficulty.
Fotis Giannakoulis: Would you be able to elaborate a little bit on the technical and commercial management of so as the last fleet? You manage right now 108 vessels, this is on the high side or even of the more established than older shipping companies? Are there any challenges in managing so many strips? How are you organized in order to achieve these efficiencies? Is everything done from our sense -- if you can give us a little bit more color and to what level of vessels you can reach?
Petros Pappas: First of all, having a big number of vessel operates obvious economies of scale. Now whether those economies of scale kind of subside whether that's 100 or 200 or 300 vessels, I can't tell you yet. On the other hand of course, it is a stress factor on the offices of the company, and therefore, it is the opportunity to always source good people and an advantage of public companies and bigger companies is that they can afford to take in good people and the human element is the most important factor in a company. Now the way we do it is we have our main office in Greece, but we also have an office in Cyprus which manages a number of the vessels; and some of the vessels will be -- or the vessels of Augustea will be retained on management by them but we will be doing the purchasing, exactly because of those economies of scale that I just mentioned and we will be doing the chartering -- kind of -- size is also important for chartering. I do not believe that there is a problem in expanding the company. We at some point have to just take in some more people, and we think we are a very organized company, I can follow-up our vessels very well. Our incomes are good, our OpEx are among the top, our writing [ph] position is at the top. So I think that all this factors point to the fact that we can still manage a large number of vessels.
Simos Spyrou: And if you compare the vessels we have under management to the number of vessels that for example, V-Shifts [ph] has under management; we've got a long way to go.
Fotis Giannakoulis: I want to jump to the favorite topic of 2018, and I'm talking about the IMO 2020 -- how you view your response to the new regulation if something has changed since the previous call if you are planning to install scrubbers in a large number of vessels than you previously had commented? And if the scrubber situation is something more focused on Newcastlemax or even Valeymax's [ph] if I valley besides to move to this solution -- and how do you view the compliance of the new regulation or the potential of extension of the deadline of January 1, 2020?
Petros Pappas: Basically what we've done -- we're proud to say that we've installed one scrubber already. And then we are installing our second scrubber as we speak. We have also ordered 22 scrubbers for mainly investing for our bigger vessels and we will see what we do thereafter. I mean, we'll have to see how they work, how the market moves, we'll see how it goes after that. Now regarding the environmental regulations, we are in favor of them, first of all, because of the environment. Second, because it makes our life more difficult, and the more difficult our life is the more barriers to entry to any new comer in the business. We're fine with who we have as competition as we are. Then, we think that these environmental regulations are going to be good for our business. They will expensive fuel oil for example, expensive this -- the ledger will slow down, the speed of vessels therefore -- the supplies, the staff we all know. There maybe even some scrubbing because of balanced water treatment plant and the dry docks coming at the same time in the next couple of years. So all these things are good for ship-owners and as we know that we always tend to over order; this will prove to be a mitigating factor in the supply-demand equation. Now, we do not believe the data is going to be moved, we think that they will stay where they are. I mean, these repeated statements of that sort from IMO officials, and despite the efforts of some fellow ship-owners that I think -- I believe they are fighting -- trying to fight the system, but instead in my view they should try to find ways to adapt to the system, whether it is scrubbers or whether it's distillage or I don't -- whatever it decides to do. And you had one more question?
Fotis Giannakoulis: Compliance.
Petros Pappas: I don't worry at all about compliance because basically if they -- if carrying heavy oil on board of vessels that do not have scrubbers is banned, then it's going to be very easy for the authorities to check that -- to check it, and I'm previous sure there is going to be very heavy penalties if anybody digresses. Now whether some people in obscure places will continue to use fuel oil, maybe so but this is going to be a very low percentage of the whole fleet in my view.
Fotis Giannakoulis: And Petros, can you clarify this benefit that you have from the scrubbers under a larger cake size or Newcastlemax vessels -- are you able to take advantage all of it or you have to share it with your charterer, how does the sharing works here?
Petros Pappas: Yes, I mean there is basically no benefit financially whatsoever at this point. In principal, we can benefit from burning heavy fuel oil and emissions control areas but that is -- and the truth is the shifts that we're putting scrubbers on, the first two trade and emissions control areas very rarely. So it's really just a technical exercise, it's not a financial exercise.
Fotis Giannakoulis: I'm trying to understand are you going to be chartering these vessels under a shortened time charters or you will chartering on a dollars per ton basis or you can make it this fuel…
Petros Pappas: I think we'll go for dollars per ton.
Fotis Giannakoulis: So all the benefit from the fuel will go to Europe if I understand well?
Petros Pappas: Hopefully, it depends because we may have to compete with other operators that have vessels with scrubbers and they may be trying to under-cut the dollars per ton but yes, otherwise, whatever freight we will agree upon, the benefit -- the total benefits should be ours as long as this is a voyage charter.
Operator: [Operator Instructions] Your next question comes from the line of Magnus Fyhr of Seaport Global Securities.
Magnus Fyhr: First one, just a follow-up on your CapEx for the scrubbers; do you have a dollar figure for those 20 -- I guess, 25 scrubbers that you are going to install on your vessels?
Petros Pappas: Well, they are actually because of the trade Magnus.
Magnus Fyhr: I'm asking to sharing them with me. In general, can you elaborate on what you see the cost for different sizes of vessels, maybe ballpark figures?
Petros Pappas: What I can tell you about the scrubbers is that we have secured financing for them. So you should not worry very much about the capital outflow.
Magnus Fyhr: And I guess with other regulations coming up, I mean the water balance treatment systems; do you have -- I couldn't see any guidance on the CapEx just for dry-docking over the next -- 2018 and 2019. Do you have some numbers that you could share with us?
Petros Pappas: We do not have. Actually for 2018 we have very few dry docks, if any. I think we have two for 2018 and less than 10 for 2019. So if you calculate like depending on the type of vessel, around $700,000 to $800,000 per dry dock then you can do the multiplications.
Magnus Fyhr: And do the vessels going into dry dock; I guess, will they also need water balance treatment systems installed?
Petros Pappas: Most of our vessels -- I would say the majority -- the great majority of our vessels are installing their scrubbers in the '20s, sorry, in the last quarter [ph] driven plans in their 20s -- 2020 to 2021.
Magnus Fyhr: So doing the math is not much of CapEx for both 2018 and 2019?
Christos Begleris: The total -- basically dry dock CapEx for 2019 is $6.7 million, projected. And total for 2020 is bit below $15 million.
Magnus Fyhr: Last question, just on the market -- you got your capsize vessels in your fleets and looking at -- evolve this guidance for the second half of the year looks like they need to ramp up production significantly. Have you seen any activities of them in the market or when do you expect them to come to market to secure vessels for increasing production?
Petros Pappas: I think they increased their shipments the last month substantially but the fact that they did not export that much in the initial four months, we think these are going to be pushed for the second half. We are extremely positive for the second half as far as Brazil exports are concerned. And due to the ton-mile effect, we think that capsize vessels are in for decent times.
Operator: And your next question comes from the line of Herman Hildan of Clarksons.
Herman Hildan: I guess you just answered my first question, more since you're extremely bullish about the second half of the year. Then kind of onto my current favorite team in the shipping space; the IMO regulations and I'm just kind of curious under one vessel you have the scrubber installed already; is there an experience you've made from that? Could you kind of give some color on how that has been basically?
Petros Pappas: We installed it a couple of months ago, and we've been operating it continuously and under as harsh conditions as we can because we want to test the various -- the potential problems that it might offer and upto now, we have operated very smoothly and we're very happy with it. So that's the experience for now, I mean we don't see any problems upto this point in the couple of months sailing.
Herman Hildan: Have you noticed any material difference in -- call it the consumption per date to drug discover or going to -- and then, any color on both? [Crosstalk] And -- like G&A and fairly increased in fuel consumption or OpEx or anything like that or is it basically no difference?
Petros Pappas: It's very, very little, almost insignificant.
Herman Hildan: Very good. And then on the more call it very different note, there has been some talks lately about the Chinese potentially restricting trucking in China, and obviously, I guess the most -- in many cases the large distance between the mines and the consuming region. I'm just curious if you kind of noticed that and if you have any thoughts around that? Because it could possibly be a good thing for the shipping markets, if they put limitations on trucking?.
Petros Pappas: Restricting trucking?
Herman Hildan: Yeah.
Petros Pappas: Okay. It depends where this trucking goes because if it's from the inland China, there is not much you can do about that. But of course, if we're talking about -- from cities that are near the water; definitely that will increase the coastal trade of China. And if coastal trade increases, then the Chinese buy more vessels, they devote into that rate and get them of the international markets. So that could only be a positive. And definitely it is going to be positive as far as emissions are concerned because we all know that per ton shipping is the lease polluting means of transportation.
Herman Hildan: Sure. And just kind of try to understanding all your very bullish view of the second half of the year; I mean obviously, we have seen in the first half of the year it's being the highest in five years, multiple times in multiple asset classes and as we've mentioned this is now the effect of -- call it iron ore export out of Brazil, if that's kind of the reason why we're bullish? Or do you see other factors that kind of give you confidence obviously outside the [company] growth?
Petros Pappas: I didn't get the first part of your question.
Herman Hildan: Did you see objective -- what are the objective facts that are driving that judgment?
Petros Pappas: First of all, there is more trade in the second half of every year. And statistically, we've seen that it's about 54% to 46%, 54% for the second part of the year. This is due to the fact that the weather is better in the second half, there is less holidays, so there is always more trade. Then, we believe a lot in ton miles. Besides tons, ton miles are more important. We believe as we discussed previously that Brazil will export more iron ore, especially because China is trying to improve the quality of the air they breathe; and therefore they want a high quality iron ore so that you can use less coal in the mix. So that actually triples ton miles into a very positive thing. Then, going for cleaner coal would mean, which is also one other issue -- it would mean that at some point they will have to lower the imports from Indonesia and import from South Africa or Australia. We are seeing more coal exported to China from the U.S., we're seeing much more bauxite coming in from West Africa. It's not that much a ton issue but it's more of a ton-mile issue in our view, there is going to be a great trade this second part of the year. So I mean everything is conspiring to a better market right now, at least for the next six months.
Operator: And you have a follow-up question from the line of Randy Giveans of Jefferies.
Randy Giveans: So for those 33 scrubbers on order, I know you didn't want to give Magnus the cost specifically but is it above or below $3 million, just as a ballpark?
Petros Pappas: It's below.
Randy Giveans: Okay. That's aligning, thank you. And then what percent of financing, you said you have financing, not to worry about it. Is that 50%, 80%, 100%?
Petros Pappas: I would say around 70%.
Randy Giveans: That's fair. And then supplier of these?
Petros Pappas: Well, that's marketing tools though. They are very European, they are European. We are going for the highest quality European suppliers.
Randy Giveans: So more than one supplier on the 22 ordered?
Petros Pappas: Yes.
Operator: Thank you. There are no further questions, gentlemen. Please continue.
Petros Pappas: That was it, operator. Thank you very much.
Operator: Thank you, ladies and gentlemen. That does conclude our conference for today. Thank you all for participating. You may now disconnect.